Operator: Hello and welcome to the Hamilton Beach Brands Holding Company Q4 2021 Earnings Call. My name is Charlie and I will be coordinating your call today.  I will now hand you over to your host, Lou Anne Nabhan, Head of Investor Relations to begin. Lou Anne, please go ahead.
Lou Anne Nabhan: Thank you, Charlie. Good morning, everyone. Welcome to our fourth quarter 2021 earnings conference call and webcast. Yesterday after the market closed, we issued our fourth quarter 2021 earnings release and filed our 10-K with the SEC, copies are available on our website. Our speakers today are Greg Trepp, President & Chief Executive Officer, and Michelle Mosier, Senior Vice President & Chief Financial Officer. Also participating in the Q&A will be Scott Tidey, Senior Vice President, Consumer Sales & Marketing.  Our presentation today includes forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in either the prepared remarks or during the Q&A. Additional information regarding these risks and uncertainties is available In our earnings release and our Form 10-K. The company disclaims any obligation to update these forward-looking statements which may not be updated until our next quarterly conference call, if at all. And now I'll turn the call over to Greg.
Gregory Trepp: Thank you, Lou Anne. Good morning, everyone and thank you for joining us. We are going to take the next few minutes to provide an overview of our performance for the fourth quarter of 2021, the Full-Year 2021 and our prospects for growth in 2022. For our company, we see 2022 as a year of opportunity. We expect to grow our top line and our bottom line as we build on the progress we made on many fronts in 2021.  Certainly the past few years have brought extraordinary challenges to our company, our industry and our world. We've navigated some tremendously adverse external conditions. In 2020, we dealt with the unexpected COVID pandemic as it spread across the globe. In 2021, we worked our way through the many negative effects of the pandemic on the global economy, including supply chain disruptions and inflation.  If you add in the hugely onerous tariffs that were imposed on certain imports from China starting in early 2018, our industry has encountered a new crisis every year since our company became public in September of 2017. We take all of these external pressures into account. I could not be prouder of or more grateful for our outstanding team. They have demonstrated exceptional agility and resilience for several years running.  Our people have worked incredibly hard, tirelessly, as well as, effectively to mitigate the impact of these external challenges. Our team has also risen to the occasion as we manage through the execution of some very big internal investments. We have converted to a new ERP system, which was demanding in many ways. Now that is in place, we expect it to provide significant benefits for years to come. The accomplished moves to new distribution centers in Canada and the U.S. which will support our growth in both the e-commerce and brick-and-mortar channels for years to come. Our new U.S. facility enabled us to expand direct-to-consumer shipping capabilities, which increases our ability to ship online orders from any retail customers. We do not move far from our contribution center, more able to retain much of our workforce. We are grateful to all of our employees who are involved in completing this move. Thinking about challenges in the past few years, we cannot lead out the difficult decision to we made to close our Kitchen Collection business in 2019.  Decision becomes even more well-timed after the events of 2020 and 2021 are considered. The pandemic seems to be waning, while supply chain constraints and inflationary pressure continue, they are expected to ease over time. We are certainly better equipped to deal with them while they endure. More importantly, a lot of highlight the many successes we achieved in 2021, due to our investments in recent years. I'm very excited about the direction of our company, we want to focus now on our key accomplishments and plans.  In 2021, revenue was the highest in our company's history. We realized significant progress on all of our strategic initiatives. Our initiatives for e-commerce, the premium products market, the global commercial market delivered double-digit revenue growth. We signed two agreements in the fast-growing home health and wellness market. Under these agreements, we plan to introduce new products in the air purification to home medical category in 2022. Let me delve into more details regarding the progress we've made with our initiatives and our plans for additional growth. We made significant progress with each initiative in 2021 and are in a very good position to continue to build on the momentum. We believe each of our initiatives will provide growth in 2022. First, our goal to accelerate our digital transformation is going extremely well. The e-commerce channel represents a very strong fast-growing part of our business. It enables us to connect directly with consumers through detailed product information, video, and digital marketing. It's a valuable way to help consumers understand the benefits and value of our products. In 2021, our total company e-commerce sales increased 22% and accounted for 38% of our total revenue. In our U.S. consumer market, e-commerce accounted for 45% of our total revenue.  We have a presence across multiple e-commerce platforms. All of our nine brands are earning star ratings at 4.2 or better. Five of our brands are rated 4.5 stars or better. Our products received favorable reviews from consumers, experts and influencers. Hamilton Beach continues to be the number one brand in the U.S. e-commerce channel based on units sold. Our e-commerce capabilities have become increasingly sophisticated. We're continuing to invest in them. We're supporting growth in digital engagement with online marketing programs, expanding our direct-to-consumer distribution operation, and increasing our participation with pure-play and omnichannel customers.  Next, I will discuss our goal to gain share in the premium market. Premium products account for approximately 40% of the U.S. small kitchen appliance industry's annual sales. We began to build out our  2014 is growing to be a meaningful part of our business. Our premium products have higher margins than many of our other consumer products. In 2021, sales of our premium products increased 33%, accounted for 13% of total revenue. We generated significant sales increases for all of our premium brands.  They include Weston, Wolf Gourmet, the Bartesian Premium Cocktail Machine, CHI Premium Garment Care products, and Hamilton Beach professional planters. We introduced new products for every brand in 2021. We plan to further expand our presence in the premium market with continued new product development, digital marketing, and by pursuing additional licensing agreements and other collaborative arrangements.  The Wolf Gourmet portfolio now covers 10 high demand categories, the brand is expected to continue to grow in sales in 2022. For the Bartesian Premium Cocktail Machine, plans are in place to launch Generation 2 this year. This upgraded model will provide enhanced functionality. Line extensions are under development, including a commercial grade model. Bartesian revenue stream includes the machine in an extensive and ever expanding line of . Our CHI Premium Garment Care brand continues to grow as more people return to offices to work and engage in evening and weekend activities including travel. We're introducing new products from our Western brand, which is targeted to gardeners and hunters. New items include, updated meat grinder and slicer models, smokers, food dehydrators, and vacuum sealers. Our Hamilton Beach Professional line leverages our commercial products expertise for the benefit of home cooks. Our product portfolio now includes 14 high demand categories. Brand continues to gain new channel placements.  We have a new brand, we are adding to our premium portfolio that I will mention today. We recently launched a premium hand mixer for the Magnolia Bakery. Magnolia Bakery started in Manhattan's West Village a little over 20 years ago, and has since become a global brand. Bakery has begun to market novelty items and baking tools, carrying its brand name along with its line of cookbooks. They asked us to partner with them on a vintage style hand mixer, in their signature blue color. Can't help but suggest that for anyone, will be in the market for a Mother's day gift in May, our mixer and a Magnolia Bakery cookbook are a great idea.  Another initiative is to lead the global commercial market. Our commercial products sell the higher-prices, at higher-margin in most of our consumer products. Our revenue from commercial products increased 36% in 2021, and account for 6.2% of our total revenue. Global commercial business separate a tremendous down  2020 due to pandemic-driven demand softness, as the food service and hotel industry suffered declines in business. It was great to see it rebound strongly in 2021.  Our growth plans for this marketing and expanding customer relationships with regional and global restaurants and hotel chains. We also continued to invest in e-commerce, which is becoming increasingly important to the commercial products market. We expect our commercial business to grow significantly in 2022. Our newest initiative is to expand in the home, health and wellness market. This initiative was added in 2021. As mentioned, we entered into two agreements that will enable us to increase our presence in this market. Our focus last year was on developing plans and new home, health and wellness products, we plan to launch throughout 2022. We entered the water filtration category late last year with our new Hamzah Beach OncoFusion Electric Countertop System. OncoFusion provide superior Water Filtration, fresh taste using a proprietary carbon block filter. We also offer flavor capsules, which provides a consumable revenue stream. AquaFusion is eco -friendly. Each filter contains -- eliminates 750 single-use plastic bottles. We've expanded our participation in the air purifier category through an exclusive multiyear trademark licensing and product development agreement with the Clorox Company. We're introduced three new Clorox air purifier models and replacement filters, in the first quarter of 2022. These include median and large room models and a tabletop model. We plan to launch additional new models later this year. The air purifier category is expected to continue to be strong given the benefits these machines provide to large consumer concerns. We also entered the home medical market through an agreement with a company called HealthBeacon Limited. HealthBeacon is a leading developer of smart tools for managing injectable medications at home.  Certainly the home medical market is newer to us and it offers, than the others we are entering in the home, health and wellness space. Let me provide an overview of what attracted us to this opportunity. Aging population is increasingly blending with managing chronic health conditions. Demand for personalized  healthcare solutions is rising in lockstep. The need exists in the younger demographics as well. Our prep -- full to HealthBeacon health smart  powered by HealthBeacon. We entered 2022 with a new direct-to-consumer sales website for the system. We are in the process of adding retail distribution for online and brick-and-mortar sales, focusing on placements in pharmacies and relationships with medical community to recommend the system to their patients. The system will provide revenue from the appliance sale and from monthly subscriptions that help patients manage adherence to their personal medication regimen using our technology in and out. Another initiatives to drive core brand growth. Even as we work to expand the new markets, we remain intently focused on accelerating the growth of our core brands and Hamilton Beach and Proctor Silex. It competed -- success -- it competed successfully in our heritage North American marketplace for over 100 years. Innovation and new product development have always been the life blood of this business. During 2021 and 2022, we are introducing more than 100 new product platforms. Many of them are for our core brands. Core brand sales increased 6% in 2021. This growth reflects the success of new products, high-volume categories such as coffee among others, and a repositioning of the Proctor Silex brand to a simply better position increased digital marketing in optimizing existing products. Hamilton Beach holds the top three market share in more than 25 categories. Finally, we have initiative to leverage partnerships and acquisitions. We have significantly increased our focus on this initiative. We prioritize opportunities that will provide entry into consumer for commercial markets, where we can become stronger participants. We are actively engaged in pursuit of additional collaborations or acquisitions should drive growth in all of our markets in 2022 and beyond. Quickly summarize all of our strategic initiatives, provide exciting future growth opportunities and potential. We expect to build on the significant progress we made in 2021. Now, I will turn the call over to Michelle.
Michelle Mosier: Thank you, Greg. Good morning. I'll comment first on our fourth quarter 2020 results compared to the fourth quarter of 2020, and then discuss our outlook. As a reminder, the 2020 fourth quarter is a difficult comparison, as our revenue was unusually high. This was due to a significant amount of order backlog fulfillment that shifted from the third quarter of 2020 during a cut-over to our new ERP system in the U.S. Net sales were $197.8 million, compared to a record $234 million in the fourth quarter of 2020, a decrease of 15.5%. In addition to the difficult comp, we encountered persistent supply chain congestion, which hindered our ability to fully satisfy retailer and consumer demand. Orders were strong in every market, and our products sold well at retail. However, our third-party manufacturers in China, struggled to produce our elevated order levels. And the ongoing challenges with securing containers coupled with the long ocean transit time slowed the movement of finished goods from China to the U.S., delaying the arrival of inventory. In spite of the overall decline in revenue, we were very pleased to see that the momentum in the Latin American market continue into the fourth quarter and revenue for this market more than doubled. In the global commercial market, revenue also continued to grow and increased 13.9%. Both markets have rebounded from pandemic driven demand softness in 2020. The revenue decreases compared to prior year occurred in the U.S., Canadian, and Mexican consumer markets. As Greg mentioned, we continue to make progress with our initiatives as demonstrated by sales of our premium brand products increasing 24.6%. Our e-commerce sales were flat year-over-year, but as a percentage of fourth quarter sales, e-commerce sales grew to 47.7% compared to 40.7% in the prior year. The pandemic drove a significant increase in online shopping in 2020. And in 2021, consumers returned to a higher level of shopping in stores. So we're very pleased with our e-commerce sales level.  Turning to gross profit, our margin contracted to 21.8% compared to 23.3%. This was primarily due to less favorable product and customer mix. We implemented price increases in the second half of 2021, which offset higher products and transportation costs for the fourth quarter. Our selling, general, and administrative expenses decreased about 3% to $25.1 million compared to $25.9 million.  The decrease was primarily due to lower outside service expenses and lower overall employee-related costs. Operating profit was $17.9 million compared to $28.4 million, and net income from continuing operations was $12.6 million or $0.90 per diluted share, compared to net income of $19.4 million or $1.40 per share. For the year ended December 31st, 2021, cash flow before financing activities was $6 million compared to a use of cash of $31.7 million in 2020.  Changes in net working capital resulted in a use of cash of $1.5 million in 2021 compared to $66.9 million in the prior year. The benefit of the lower cash used for net working capital was partially offset by capital expenditures in 2021 of $11.8 million compared to $3.8 million the year before. The 2021 amount included our investment in our U.S. distribution center. This was partially offset by $4 million in lease incentives and tenant improvement allowances classified as cash provided by operating activities. Net working capital increased by $4.3 million, as trade receivables decreased by $25.2 million due to the timing of receipts and lower sales. Inventory increased by $9.4 million primarily due to supply chain constraints that delayed arrival of some inventory to late in the fourth quarter that did not provide enough time for us to turn it for the holiday season. Accounts payable decreased by $20.1 million due to timing. Net debt at December 31st, 2021 was $95.7 million compared to $95.9 million at December 31st, 2020.  Next, let me turn to our outlook. In 2022. Overall demand for small appliances is expected to remain above pre -pandemic levels. Although significantly softer than in 2021. Industry expectations are that the pandemic lifestyle likely will not shift entirely back to pre -pandemic modes. As the Pandemic wanes, we'll monitor closely any shift in consumer needs and behavior away from the home. The global commercial market is expected to continue to rebound strongly from the pandemic-driven demand softness. I will note that this view does not take into account any potential negative impact on the global economy of the War in Ukraine. Depending on how things evolve, business conditions could change. For the full year 2022, we expect that continued progress with our strategic initiatives will enable us to deliver modest revenue growth compared to 2021. Our core business is solid. We expect to continue growth in the premium and global commercial markets, and we expect to begin to benefit from the sale of new products in the home, health, and wellness market.  For the first half of 2022, we expect revenue to decrease modestly in comparison to a very strong first half of 2021. And as issues related to product availability and supplies constraints continue. For the second half of 2022, we expect revenue to increase moderately. This outlook includes the benefit of new products for the home health and wellness market that will launch throughout the year, and the continued strength of our core products. We have planned for supply chain constraints and rising product and transportation costs, to continue through this year. Timing for any easing of these pressures remains uncertain. To mitigate rising costs, we have implemented pricing initiatives that are becoming effective during the first quarter of 2022. We plan to continue to adjust prices as necessary to offset rising costs, while also remaining competitive with retail customers and consumers. We may not be able to cover all future costs increases with additional pricing initiatives. Even the Middle-East pressures, we will continue to focus on managing margins and working capital within historic ranges, to the fullest extent possible. We expect Full-Year operating profit to increase, mostly driven by the higher revenue, and also due to a modest improvement in gross profit margin. We reported in our 10-K that at December 31, 2021, we had 1.9 million of accumulated other comprehensive losses, related to our beryllium subsidiary, which will be recognized in net income upon it substantial liquidation. This event is expected to occur in the first half of 2022. That concludes our prepared remarks, and we'll now turn the line back to the Operator for Q&A.
Operator: Thank you.  Our first question comes from Justin Kleber of Baird. Your line is open. Please go ahead.
Unidentified Analyst: Hi, everyone, good morning. This is Beck, on for Justin. Thank you for taking our questions. Maybe to start off, can you discuss a bit about your relationship with your largest customer? We noticed they accounted for 28% of the business this year versus 35% in 2020. I'm just curious if there are any changes on that front.
Gregory Trepp: Hey, good morning, this is, Greg, and I'll let Scott follow up on this. I think -- yeah, there's -- we have a great relationship with -- really across our entire portfolio of customers and we've got tremendous growth going on with some and some are -- some will go up one year and down another year. So really the reality is we've got a mix shift going on across divisions, but then from a customer standpoint, we've got strong growth in some areas such as e-commerce and a little slower growth in some other areas. So really, I think it's not a indication of weakness at customer -- particular customer, it's really the short-term ups and downs and over time we feel like we're in a good position with all of our top customers.  said that, you would agree?
Scott Tidey: Yes, Greg. I do agree. I think there's a mix between the different countries where we have our largest customer and some of their different outlets. And so there is -- there has been some shift there, but overall our distribution points are still very strong. Some of them had stronger sales in the 2021 time period versus the prior year, and others were a little bit softer. So I think we're just try to move a little bit with them. And then we had some other retailers in our portfolio that just got bigger. And because of some of our strategic initiatives, they just -- some of these other customers became a bigger part of our portfolio.
Gregory Trepp: I think it's a good point. As you said, we're good point discussed, mentioned when we list our top customer, it can be negative on banners of after one customer across really our global platform. So there might be one banner in one country that might also throw the next off a little bit. But, thanks. Scott explained it very well.
Unidentified Analyst: Got you. That make sense. Thanks for the color. Looking at your commercial business, it sounds like the recovery there continued nicely during the fourth quarter, and you guys ended the year with nearly $41 million in sales there. Can you talk a bit about how supply chain constraints are impacting that business in particular? While it grew nicely with 36% growth in 2021, how much stronger do you think it could have been? And then, Greg, going back to your comment about significant commercial growth anticipated in 2022, do you think the commercial business can get back to pre -pandemic levels next year as you guys saw in 2018, 2019?
Gregory Trepp: On the supply chain is definitely affecting all of our businesses. Getting product produced was one ongoing challenge, as our suppliers struggle with all sorts of things related to production and demand. And then just getting it to where it needed to be on time is  factor. So definitely supply chain hampered what we could've sold in commercial, as well as our entire portfolio just consumer, Canada, Mexico, etc. So we definitely missed out on what could've been higher results. I think as we go into 2022, that the demand from those customers, the commercial customers is still very, very strong. We have a solid backlog, so as soon as we get product produced and to them, and we have orders in hand. So how that will play out as the year goes on right now, that's how it has been in the first half of this year. Certainly some parts of the world are slowing down here, because of what's going on in Ukraine and Russia. But overall, the demand is very strong and as long as we can produce products and get them there, we expect continued growth in 2022.
Unidentified Analyst: Got you. Yeah, that's good to hear. Shifting gears to your guidance for next year. And Michelle, you mentioned your outlook includes a modest improvement in gross margin, which seem to contribute to the operating income growing faster than sales in 2022. As we think about the magnitude of improvement there, do you think you can achieve a rate similar to a 21.8% level, at which you exited the fourth quarter of this year?
Michelle Mosier: Yes, Justin, I think -- sorry. I apologize. I think we no -- know we did have some significant costs thrown through the distribution chain this year, particularly with outbound transportation as well as inbound transportation. We are in hopes that we'll get back into that normal range of operating profit margin next year. But again, all of it does depend on what we've seen in the economy, where, as we mentioned, we're taking some price increases in the first quarter. And if we can keep up with that throughout the year, then we should be back to where we want to be.
Unidentified Analyst: Sure. That makes sense. And just to follow up on that point, the last question we had was around pricing. As you mentioned, that roundup price increases untapped in the first quarter. Can you give us a sense for the magnitude of these compared to your previous price actions taken in the second half of this past year, just given that cost pressures  across products and freight has escalated. And then on top of that, have you heard of any unit elasticity from your vendor partners in regards to how demand has fared?
Gregory Trepp: Scott, you would pick that one.
Scott Tidey: Sure. I can start on that. So, yes. If you look at the price increases, we needed to take several increases in 2021 to offset both the cost coming from our suppliers and the transportation costs. And as we project, we haven't quite finalized where we think we'll be in the first half of this year, but we're starting to look at our new contract rates on containers and are -- we're working with our suppliers. But I do think all the retailers that we're dealing with are having the same challenges. We're all bringing most of our product from Asia. And so our increases are in line with the competitive market. And it seems like our suppliers are certainly understanding as they have to deal with the same types of challenges getting in containers. So, we'll definitely be -- continue to, as we get these contracts negotiated a new pricing, we've been -- we feel very effective in passing these on in a timely manner to try to mitigate the margin erosion.
Gregory Trepp: Exactly. Just building on what Scott said and so Scott and his team and the commercial team has done a great job working closely with retailers to figure out what's best for the pillar for us and for our consumers. And that all went into effect in the first quarter, as Michelle said. Scott is also referencing that we're going through contract negotiations on container rates and we'll be working with our suppliers soon on back half call. So there will very likely be more price increases mid-year tied to whatever the cost position is. Again, will do the same thing. We'll figure out what it's going to impact our businesses, work with our retailers to implement it in a way that works for everybody. So my assumption is there will be continued price increases going the back half of 2022.
Unidentified Analyst: Great. Makes sense. Well, thank you all very much. We appreciate your time and congrats on the record year and best of luck in the year ahead.
Gregory Trepp: Thank you.
Michelle Mosier: Thank you, sir.
Operator:  There are no further questions on the line at this time so I'll hand the call back over to Greg Trepp for any closing remarks.
Gregory Trepp: Thank you. We appreciate the opportunity to share with you today what we believe are strong prospects for future growth. As we've always said, our company is focused on long-term value creation. We are fortunate to be a leader in an industry with durable demand. We also believe that new cooking habits developed during the pandemic will endure, especially for young people. Any of you have been shareholders since our spin-off in 2017, I thank you for your confidence in our ability to deliver, our commitment to build long-term shareholder value. That concludes our report for today. Thank you again for joining our call.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.